Operator: Thank you for holding and welcome to Rockwell Automation's quarterly conference call. I need to remind everyone that today's conference call is being recorded. At this time, I would like to turn the call over to Mr. Patrick Goris, Vice President of Investor Relations. Mr. Goris, please go ahead.
Patrick Goris - Rockwell Automation, Inc.: Good morning and thank you for joining us for Rockwell Automation's fourth quarter fiscal 2016 earnings release conference call. With me today are Blake Moret, our President and CEO; and Ted Crandall, our CFO. Our results were released earlier this morning, and the press release and charts have been posted to our website. Both the press release and charts include reconciliations to non-GAAP measures. A webcast of this call will be available at that website for replay for the next 60 days. Before we get started, I need to remind you that our comments will include statements related to the expected future results of our company and are therefore forward-looking statements. Our actual results may differ materially from our projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all of our SEC filings. So with that, I'll hand over the call to Blake.
Blake D. Moret - Rockwell Automation, Inc.: Thanks, Patrick, and good morning, everyone. Thank you for joining us on the call today. I'll start with some key points for the quarter, so please turn to page 3 in the slide deck. The quarter was a little better than our expectations. Sales in our Product businesses continued to improve sequentially, and the Architecture & Software segment returned to year-over-year organic growth. Orders and sales in our Solutions & Services businesses, while still down year over year, came in as expected. Globally, oil and gas and mining remained the weakest verticals, with oil and gas down about 25% year over year in the quarter. However, it appears these markets are stabilizing. Consumer and automotive both had good growth in the quarter. For automotive, this was the best year-over-year growth quarter of the year. Our powertrain initiative is yielding results and is contributing toward growth and share gains in this vertical. From a regional perspective, in the U.S., our Product businesses continued to improve sequentially and were up year over year for the first time this year. Food and beverage and automotive were our strongest verticals in the U.S. EMEA was down year over year in the quarter, a bit weaker than we expected, but order growth was strong and up mid-single digits year over year. Our performance in Asia was stronger than we expected, with growth in most countries in the region, including China, where we saw modest year-over-year growth for the first time this year. And as expected, our organic growth rate in Latin America slowed down. Continued growth in Mexico was offset by weakness elsewhere in the region, including Brazil. A couple of additional comments about the quarter, our Process business was down 14% year over year, reflecting continued weakness in heavy industries. Logix was down 1% compared to last year but grew again sequentially. And I'm pleased with about 20% segment margin in the quarter, despite higher restructuring charges. Ted will elaborate more on Q4 financial performance, including the restructuring charges, in his remarks. Moving to the full year, fiscal 2016 was a challenging year, but I believe we executed well in difficult market conditions. Here are some key points. Throughout fiscal 2016, we've talked about significant declines in heavy industry verticals. Oil and gas was down about 25% for the year, mining mid-teens. Weak heavy industry performance impacted Process and Logix performance, which were down 15% and 4% for the year respectively. Consumer verticals were up mid-single digits. This reflects our continued success with machine builders. After several strong years, automotive continued to grow, including the contribution from our powertrain initiative. And we saw double-digit growth in revenue streams related to new value from the connected enterprise. We'll talk more about that on Thursday at our Investor Day. With respect to financial performance, we were able to keep our segment margin above 20% despite 7% lower reported sales. We had another good year of free cash flow conversion, over 100% of adjusted income. And we continued to return cash to shareowners, almost $900 million during fiscal 2016. Just last week, we announced a 5% increase in the annual dividend. This reflects our confidence in sustained free cash flow through the cycle. To accelerate the execution of our strategy, we acquired three great companies during fiscal 2016. These acquisitions further strengthen our technology differentiation, increase our domain expertise, and expand market access. MagneMotion adds to our portfolio of innovative motion control solutions for consumer and transportation verticals. Automation Control Products adds new value to our software offering in applications across all industries, and Maverick Technologies adds expertise in chemical, consumer, life sciences, and oil and gas industry applications. I believe these acquisitions will help us grow market share. Finally, I would like to thank our employees, partners, and suppliers for their continued commitment. Let's move on now to the fiscal 2017 outlook. I'll start with market conditions and economic indicators. Since the significant declines in early 2016, oil and commodity prices have somewhat recovered, and our business in heavy industry markets generally appears to have stabilized. Current forecasts call for improved global GDP and industrial production growth rates as well as higher levels of global capital expenditures. We therefore expect improvement to continue into fiscal 2017, with continued growth in the consumer and auto verticals and with heavy industries about flat year over year. Taking all these factors into consideration, we are expecting fiscal 2017 organic sales to be up about 2% year over year. In addition, we project the acquisitions we made in 2016 to contribute significant growth. Including the impact of currency, we are initiating fiscal 2017 sales guidance of a little more than $6 billion and adjusted EPS guidance of $5.85 to $6.25. Ted will provide more detail around sales and earnings guidance in his remarks. Before I turn it over to Ted, let me add a few comments. I look forward to seeing many of you later this week at our annual Investor Day. As usual, we will hold Investor Day at Automation Fair, our main customer event, which will be in Atlanta this year. Coincidentally, Atlanta is my hometown. We again expect to welcome thousands of customers and partners from all over the world for this year's Automation Fair. We will showcase our latest innovations, acquisitions, and information solutions, and highlight how the powerful combination of Rockwell Automation and our partners bring the connected enterprise to life. Regardless of the macro environment, the secular tailwinds for automation remain intact and the opportunities provided by the connected enterprise are real. I believe we are best positioned to deliver the connected enterprise to our customers because we are already on the plant floor with a large installed base. We have differentiated technology and domain expertise, and we have a long history of successful partnerships. And the value we provide is in high demand, as every day customers are pulling us into their plans to connect their enterprise to become more competitive. We will continue to invest in technology and domain expertise to expand this value and profitably grow share, more on Thursday during Investor Day. And with that, Ted.
Theodore D. Crandall - Rockwell Automation, Inc.: Thanks, Blake. Good morning, everyone. I'll start my comments with page 4 of the fourth quarter key financial information. Sales in the quarter were $1.539 billion, down 4.3% compared to Q4 last year. On an organic basis, sales declined 4%. Currency translation reduced sales in the quarter by 70 basis points, and acquisitions increased sales by 40 basis points. Both the organic result and the currency impact were a little better than we expected. Segment operating margin was 19.8%, down 1.1 points from Q4 last year. The lower margin year over year was primarily due to lower organic sales and higher restructuring charges, partly offset by favorable mix. Restructuring charges in the quarter totaled about $20 million, higher than the $10 million that we talked about in our last earnings call. We elected to go deeper with restructuring to help offset known earnings headwinds in fiscal year 2017 and to create some headroom to reallocate spending to areas where we believe we have the best growth opportunities in the coming year. We expect these actions to generate gross savings of over $30 million in fiscal 2017 and over $40 million on a full run rate basis. General corporate net expense was $25 million in Q4 compared to $20 million a year ago. The adjusted effective tax rate in the quarter was 23% compared to 28% in the fourth quarter last year. In Q4 this year, the adjusted effective tax rate was lower than last year but also better than we expected, primarily due to a more favorable mix of income across our global operations. Compared to Q4 last year, we also benefited this year from the R&D tax credit. Adjusted earnings per share was $1.52 compared to $1.57 in Q4 last year. The effect on adjusted EPS of lower operating earnings was partly offset by a lower tax rate and lower share count. Adjusted EPS of $1.52 was a few cents above the implied fourth quarter guidance, including the lower tax rate but despite the higher restructuring charges. Free cash flow for Q4 was $235 million. That's another very good quarter. The rolling four-quarter return on invested capital was 33%. Average diluted shares outstanding in the quarter were 130 million. That's down 3% from Q4 last year. During the fourth quarter, we repurchased 1.1 million shares at a cost of $130 million. Turning to page 5, this is the full-year version of the key financial information. Sales were $5.880 billion for the full year, down 6.8%. Organic sales declined 3.9%. Currency translation reduced sales by 3 points. Segment operating margin for the full year was 20.2%, down 1.4 points from last year. The primary factors were lower organic sales and the negative impact from currency effects, partly offset by lower incentive compensation expense. Adjusted EPS was $5.93, down 7% compared to last year on the 7% reported sales decline. General corporate net expense was $80 million for the full year. That was about $5 million more than we talked about last quarter. Free cash flow for full year was $834 million, which was 107% of adjusted income, a little better than our targeted conversion and previous guidance. For the full year, we repurchased a total of 4.6 million shares at a cost of $500 million. That's right on the $500 million target that we shared last November. The next two slides present a graphical view of the sales and operating margin performance of each segment. I'll start with the Architecture & Software segment on page 6. I'll start with the quarter performance. On the left side of this chart, you'll see that Architecture & Software segment sales were $696 million in Q4, up 1.8% from the same quarter last year. Organic sales increased 1.4%. Acquisitions increased sales by 1%, and currency translation reduced sales by 60 basis points. As Blake mentioned, this is the first quarter for year-over-year organic growth in the Architecture & Software segment in over a year. Moving to the right side of the chart, Architecture & Software margins in the quarter were 25.8%, down 1.5 points from Q4 last year, and primarily due to unfavorable mix and higher restructuring charges. For the full year, A&S sales were down 4.2% as reported, with a 1.5% organic sales decline, a 30 basis point contribution from acquisitions, and currency translation reducing sales by 3%. Segment operating margin for the full year was 26.4%, down 3 points compared to prior year, primarily due to lower sales, unfavorable mix, and unfavorable currency effects. Now on page 7, a similar view for the Control Products & Solutions segment. In the fourth quarter, Control Products & Solutions segment sales were $842 million, down 8.8% year over year, with an organic sales decline of 8%. Currency translation reduced sales in this segment by 80 basis points. The organic sales in the Product businesses in this segment grew by about 1%. Solutions & Services business sales declined by about 14%. The book-to-bill in Q4 for Solutions & Services was 0.92. That's better than the typical Q4 result but on a relatively weak billings denominator. Operating margin was 14.8%, down 1.4 points compared to last year, primarily due to the significant organic sales decline, partly offset by productivity. For the full year, CP&S sales were down 8.8% year over year and down 5.8% on an organic basis. Currency translation reduced sales by 3%. On an organic basis for the full year, Product sales in the segment were down about 2%, and Solutions & Services sales declined by about 8%. CP&S segment operating margin for the full year was 15.2%, 30 basis points below 2015. This was a very good result despite an almost 9% drop in reported sales, and largely attributable to strong productivity performance in the year. Page 8 provides a geographic breakdown of our sales and shows organic growth results for the quarter and the full year. My comments will all refer to organic growth rates. Starting with the quarter, the U.S. was down about 7%, Canada down about 10%. In the U.S., our Product businesses grew year over year in Q4 for the first time in fiscal 2016. EMEA was down 3% but, as Blake noted, underlying orders were good and it was a relatively difficult year-over-year comparison. We saw about 5% growth in Asia-Pacific, with China growth a little below that, and with India up in the high single digits. This is the first quarter for organic growth in Asia-Pacific and in China in more than a year. Latin America was up about 1%. Mexico was up almost 10%, but that was largely offset by declines in Brazil and the balance of the region. Moving to the full year, I'll try to provide some vertical color on the full-year results. In the U.S. and Canada, sales declined 7%. Across all regions this year, we experienced significant weakness in heavy industries, and that was particularly true in the U.S. For the company in total, oil and gas was down about 25% for the full year, but our largest decline in oil and gas occurred in the U.S., considerably worse than the company average. Similarly, mining, which was down mid-teens year over year for the company, was down over 20% in the U.S. The best growing verticals in the U.S. were food and beverage and life sciences. In EMEA, organic sales were up 2% year over year, with 1% growth in the mature markets and almost 4% growth in the emerging markets. On a vertical basis, oil and gas was down about 10%. Mining was down mid-single digit, and we saw particularly strong growth in life sciences and home and personal care. In Asia-Pacific, we finished the year with sales down 5%. India saw double-digit growth, and China was down a little less than 10%. In Asia-Pacific, heavy industry verticals were down across the board except for water/wastewater. Automotive, food and beverage, and life sciences were the best performing. Food and beverage was up about 20% year over year, primarily due to China. In Latin America, sales increased 7% for the full year, with Mexico over 20% and Brazil down almost 10%. Oil and gas was down about 10%. Mining was about flat. We saw growth in most other verticals, with strong growth in auto and home and personal care. Organic growth in emerging markets for the full year was 1%, with growth in Latin America and EMEA emerging markets and declines in China. And that takes us to the fiscal 2017 guidance slide. On the revenue side, here's how we're thinking about fiscal year 2017. We've seen solid sequential growth in our Product businesses over the last two quarters of fiscal year 2016. Orders in our Solutions & Services businesses seem to be reaching a bottom. From a vertical perspective, it appears that oil and gas and mining are stabilizing. We don't expect things to get better in fiscal year 2017, but we don't expect the drag in these industries that we experienced in 2016 to continue. We expect our business in auto and consumer industries to continue to grow. We've always said that our business tracks best with levels of industrial production. Current forecasts of industrial production for fiscal year 2017 indicate growth of a little over 1%. That compares to a 20 basis point decline in industrial production in 2016. Generally, we expect to grow at a multiple of IP growth. Blake mentioned that during 2016 we saw double-digit growth in some revenue streams related to the connected enterprise. We expect these revenue streams to continue to grow faster than the company average in fiscal 2017. With other share gain opportunities like powertrain and OEM, this will help us to continue to generate above-market organic growth. Taking all of that into account, we expect organic growth in fiscal 2017 of about 2%. We expect acquisitions to add about 1.5 points of additional growth. We expect a minor headwind from currency, about a 50 basis point reduction to sales for full year. Our projection for translation impact assumes recent exchange rates. For example, we're assuming a euro rate of $1.09. We expect fiscal 2016 sales to be a little over $6 billion. Our guidance range for organic growth is zero to 4%. We expect to see growth in all regions except Canada. We expect Canada to be about flat year over year in 2017. We expect slightly higher growth in the Product businesses than in our Solutions & Services businesses. And given the beginning backlog in our Solutions & Services businesses, for the company in total, we expect to see a lower rate of growth in the first half of the year and higher growth in the second half. We expect segment operating margin to be about 20%, maybe a little bit lower. That's not our normal conversion, but we know we have margin headwinds to deal with in 2017, namely, the restoration of inventive compensation and increase in operating pension expense and unfavorable currency impact that's catching up to us from the rolling of currency hedges we had in place last year. We expect the full-year adjusted effective tax rate to be about 24%. That's a little higher than in 2016. The rate reflects recognition of an expected discrete benefit in the first quarter, so the rate will be lower in Q1 and higher over the balance of the year. Our guidance range for adjusted EPS is $5.85 to $6.25. We expect free cash flow conversion on adjusted income of about 100%. And a couple of items not shown here, general corporate net expense should be approximately $75 million in 2017. We expect average diluted shares outstanding to be about 128 million for the full year. We intend to continue to return excess free cash flow to investors. Blake already talked about last week's dividend increase. The amount we spend on share repurchases in 2017 will depend on free cash flow and acquisition spending. But at this point, we expect to spend about $400 million on repurchases in 2017. The final page includes an EPS walk from fiscal year 2016 to fiscal year 2017. I think what's most relevant on this chart is that you can see graphically the fiscal 2017 earning headwinds we've been talking about over the past few quarters. The restoration of incentive compensation is about a $0.25 headwind, with pension, currency, and tax rate all at about $0.05, all together about $0.40 of headwinds. Based on our previous and ongoing share repurchases, we expect a tailwind of about $0.15 from share count. Along with the core contribution, that's the walk to the $6.05 at the midpoint for fiscal 2017. We expect the effect of the recent acquisitions to be about neutral to adjusted EPS, including acquisition-related costs. And with that, I'll turn it over to Patrick and we'll begin Q&A.
Patrick Goris - Rockwell Automation, Inc.: Okay. Before we start the Q&A, I just want to say that we would like to get to as many of you as possible, so please limit yourself to one question and a quick follow-up. Thank you. Operator, let's take our first question.
Unknown Speaker: Operator. Certainly. Our first question today comes from Nigel Coe from Morgan Stanley. Please go ahead.
Sawyer C. Rice - Morgan Stanley & Co. LLC: Hi, it's actually Sawyer on for Nigel. I just wanted to drill into the guidance a bit more. I guess on a geographic basis, how should we be thinking about fiscal 2017 geographically, and how does the zero to 4% organic shake out across the regions?
Theodore D. Crandall - Rockwell Automation, Inc.: Yes, I think maybe addressing it at the midpoint of 2% organic, we would expect all of the regions to be close to that, but with Latin America probably a little above the average.
Sawyer C. Rice - Morgan Stanley & Co. LLC: Great, thanks, and then I guess just one more here on auto specifically. You highlighted that as a growth end market for next year. Should we expect North American auto to be positive into 2017? Thanks.
Blake D. Moret - Rockwell Automation, Inc.: Yes, we do. And again, the growth of our automotive industry sales is really more dependent on model changes than the SAAR [Seasonally Adjusted Annual Rate] count. And we have good visibility to model changes around the world, but including the U.S.
Sawyer C. Rice - Morgan Stanley & Co. LLC: Great. Thanks, guys.
Operator: Your next question comes from Steve Tusa from JPMorgan. Please go ahead.
Daniel J. Innamorato - JPMorgan Securities LLC: Hi, guys. This is Dan on for Steve. How are you?
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Daniel J. Innamorato - JPMorgan Securities LLC: So on the $0.35 expected for core growth next year, can you talk about the ability to toggle that depending on where you fall in the organic range? Basically meaning if you fall towards the low end of that organic, are there levers you can pull on margins to keep you close to that target, or is that $0.35 at the midpoint of 2% and it toggles that way?
Theodore D. Crandall - Rockwell Automation, Inc.: We worked that bridge at the midpoint, but you could do a similar bridge at the low end of guidance. And the two things that would inflect at the lower end of guidance are both that core contribution and to some extent the incentive compensation.
Daniel J. Innamorato - JPMorgan Securities LLC: Got it. And then just a quick follow-up, can you walk us through the heavy industrial commentary for next year? Are there any verticals that are actually going to be down, or is that just a flattish trajectory across each of those end markets?
Theodore D. Crandall - Rockwell Automation, Inc.: If you look at our performance in 2016, it was largely oil and gas and mining that pulled down the heavy industry verticals. In the balance of heavy industry verticals, it was relatively flat, with some up a little bit and some down a little bit. I think what we're counting on in oil and gas and mining is we have had in oil and gas now about four quarters of relatively flat sales sequentially, and in mining, about three quarters of relatively flat sales sequentially. And when we get to Q1, we will have an easier comparison year over year in oil and gas, and by Q2, an easier comparison in mining.
Blake D. Moret - Rockwell Automation, Inc.: Overall the heavy industries are expected to be flat to slightly down. We do get some contribution particularly in chemical and oil and gas from the Maverick Technologies acquisition.
Daniel J. Innamorato - JPMorgan Securities LLC: Got it, all right. Thanks, guys.
Operator: Your next question comes from Steven Winoker from Bernstein New York. Please go ahead.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Thanks and good morning, all. I just want to make sure I understand $0.35 core growth at the midpoint on the bridge for next year. So that's something north I think of a 50% incremental margin in terms of how I should think about just the core growth. And I assume that the restructuring, the $10 million to $20 million – well, the $20 million of which $10 million was a little bit more than we had talked about last quarter, without that, the bridge would be that core incremental would be closer to, I guess 25%, without the full $20 million a little higher. I'm just trying to make sure I get your thinking on this. Is the restructuring a big piece of that benefit?
Theodore D. Crandall - Rockwell Automation, Inc.: Yes, so I think, Steve, you're right on. Part of that higher conversion is we'll probably guide about $15 million less restructuring charges reflected in 2017 than in 2016. And then in addition to that, we've got the restructuring savings that will impact 2017 favorably from the charges we took in Q4.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay, great.
Theodore D. Crandall - Rockwell Automation, Inc.: And those are probably the two major factors that cause that conversion to be a little bit higher than you might have otherwise expected.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay, perfect, and then just a little bit of clarity on both maybe auto and then MRO versus CapEx overall. In auto, you guys had been calling out decelerating organic growth. I think it was 1% up last quarter, maybe 3% the quarter before that. Where did it actually come out now? And then just more broadly, what are you seeing again on the MRO side as opposed to CapEx?
Patrick Goris - Rockwell Automation, Inc.: Auto was up almost 10% in the quarter, globally.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay, great. And MRO versus CapEx, what kind of trends are you seeing on the MRO side?
Theodore D. Crandall - Rockwell Automation, Inc.: Steve, is that question specific to auto or more generally?
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: No, more generally across the businesses.
Theodore D. Crandall - Rockwell Automation, Inc.: It's hard because we sell so much through distribution that it's hard for us to know exactly what the split of CapEx is and MRO. But I referenced before that in oil and gas and mining, we've now seen three or four quarters of relatively flat sales. And I think that is a reflection of relatively stable MRO spending, small project spending, and then also investment in productivity improvement projects as opposed to new capacity.
Blake D. Moret - Rockwell Automation, Inc.: To add to that, I don't think we've seen anything to indicate a change in MRO spending in auto. What we are seeing is in that vertical particularly high uptake of some of the new value that we talk about with the connected enterprise. So adding information solutions that sit up on top of the basic control system, we're seeing really around the world a fairly rapid adoption of those additional sources of productivity.
Theodore D. Crandall - Rockwell Automation, Inc.: And it's one of the things we'll talk about a little bit more on Thursday.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay, great. Thanks, guys.
Operator: Your next question comes from Shannon O'Callaghan from UBS. Please go ahead.
Shannon O'Callaghan - UBS Securities LLC: Good morning, guys.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Theodore D. Crandall - Rockwell Automation, Inc.: Good morning.
Shannon O'Callaghan - UBS Securities LLC: Hey, just in terms of this product uptick you've seen in the last couple quarters, a lot of other companies are talking about the uncertainty weighing on spending out there and also the election obviously not helping. What are you hearing from customers? You're seeing these encouraging trends in products, which makes sense in some sense, but don't really foot with this uncertainty weight that other people are talking about. So maybe just a little more color on what customers are telling you.
Blake D. Moret - Rockwell Automation, Inc.: I think there's stability in terms of some of the key industries. And remember, those product sales do get impacted by heavy industries as well as the consumer industries. But there's more optimism really on the consumer side, and we see the impact of new products as well having some benefit for us. So the new product releases, we've been talking about the investment for the last couple years. And we did see in 2016 and continuing into 2017 some important new products that are now available on the market.
Theodore D. Crandall - Rockwell Automation, Inc.: It's hard for us to comment on what other companies are saying because geographic exposures and industry exposures are somewhat different. But we have seen a couple of encouraging quarters of sequential growth, particularly in the Product businesses. Obviously, it's been better in auto and consumer than it has been in heavy industry. I'd say what we have reflected in guidance is consistent with what we're hearing from customers about their capital spending plans. As far as the election goes, we haven't talked to many people who are happy about the election, but I also haven't talked to many customers who are saying they're holding back spending specifically for that reason.
Shannon O'Callaghan - UBS Securities LLC: Okay, great. And then within the oil and gas, I know your visibility is not always perfect if it's is going through distribution and things. But is there any difference within your products that you're selling to oil and gas? It seems like part of that market has stabilized and maybe even turned and other parts haven't. Are you seeing anything you can glean from the mix of what you're selling into that market in terms of what's improving and what's not?
Theodore D. Crandall - Rockwell Automation, Inc.: No, I can't think of any significant mix change in the Product or Solutions set that we're selling into oil and gas.
Blake D. Moret - Rockwell Automation, Inc.: Just to recap, our primary exposure is upstream and some in midstream, less in terms of control and downstream, although we do sell our intelligent motor control offerings as well as our process safety offerings in downstream, but we're not seeing any significant change in the mix. Again, we took some steps to increase our domain expertise, which impacts oil and gas primarily upstream and midstream.
Shannon O'Callaghan - UBS Securities LLC: Okay, great. Thanks, guys.
Operator: Your next question comes from Jeffrey Sprague from Vertical Research Partners. Please go ahead.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Thank you. Good morning, gentlemen.
Blake D. Moret - Rockwell Automation, Inc.: Good morning, Jeff.
Theodore D. Crandall - Rockwell Automation, Inc.: Good morning.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Good morning, two questions, one on just Q1, if you could give us a little help, and then a strategic one after that. But not to put too fine a point on Q1, I'm sure you don't want to get into quarterly guidance. But given what you said about backlogs and book-to-bill, do you expect Q1 organic revenue growth to be in your annual growth band of zero to 4%? And I'm also just wondering, if you could, Ted, tell us what is the tax rate you're using in Q1.
Theodore D. Crandall - Rockwell Automation, Inc.: So let me go to your first question about the growth rates. I don't think we're going to see year-over-year growth probably until Q2, and at best I think Q1 will be at the low end of the guidance growth range. Since we don't do quarterly guidance, I'm not going to do a Q1 tax rate, but the Q1 tax rate will be below the average for the full year.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Okay. And then perhaps for Blake, but either who wants to take it, the acquisition of Maverick raised my eyebrows a little bit, the biggest independent systems integrator. It seems to rub a little bit against the grain of the Rockwell us-and-our-friends type approach to the market and maybe creates a channel conflict. Could you address that and how you view that, and does it actually reflect some fundamental change in your thinking?
Blake D. Moret - Rockwell Automation, Inc.: It does not reflect a fundamental change in our thinking. We remain committed to strong support of our systems integrators and solutions providers. We've had really a dual approach to the market, particularly in process, for a long time now, in that for some industries and applications and even some specific customers, they do expect the manufacturer of the control equipment to have the domain expertise to be able to most efficiently apply that technology. But we recognize and remain committed to strong support of independent engineering firms for integrating those products as well. Particularly in the process space, there's not as much of an integrator footprint in the U.S. or around the world. On balance, the integrators are typically a little more focused on discrete applications, but in no way does this signify a rollup of our integrators either in process applications or in general.
Jeffrey Todd Sprague - Vertical Research Partners LLC: All right, thank you.
Operator: Your next question comes from Julian Mitchell from Credit Suisse. Please go ahead.
Julian Mitchell - Credit Suisse Securities (USA) LLC (Broker): Hi, thank you. Firstly, I just wanted to ask around the trends you saw monthly, if there was any notable difference since the end of the June in any region or end market, or whether the trends you saw on orders and sales were pretty steady in the last four months.
Theodore D. Crandall - Rockwell Automation, Inc.: So, Julian, generally, conditions improved as we moved through the quarter, but that's pretty typical for any quarter for us and particularly so for Q4.
Blake D. Moret - Rockwell Automation, Inc.: And October is consistent with our guidance as well.
Theodore D. Crandall - Rockwell Automation, Inc.: Right.
Julian Mitchell - Credit Suisse Securities (USA) LLC (Broker): Understood, thank you. And then secondly, I guess, China, you had a very good return to growth. That echoed what some of your peers have talked about last week. I just wondered if you could give us any color around which end markets drove that pickup and how you think about the sustainability of that growth, as your numbers in China have been very volatile in the last few years.
Blake D. Moret - Rockwell Automation, Inc.: A lot's been said about the growth of the consumer vertical in China, and we continue to see that and automotive as the engines of our growth there. And I mentioned before about around the world customers in addition to the basic control systems that they're adding or upgrading, adding the additional information solutions on top in their overall platform. And we're seeing particularly high adoption in China, and specifically in consumer verticals like Life Sciences as well as in the automotive industry. And in fact, the adoption rate is probably higher than in any other place in the world, as those manufacturers, including indigenous manufacturers, are trying to move more rapidly up the productivity curve than other economies did in the past.
Julian Mitchell - Credit Suisse Securities (USA) LLC (Broker): Okay. So it's more of I guess the structural element is overcoming any short-term cyclical weakness?
Blake D. Moret - Rockwell Automation, Inc.: Yes, I think what we're seeing is the long-term trends towards a consumer industry to support the growing middle class playing out in China.
Julian Mitchell - Credit Suisse Securities (USA) LLC (Broker): Great, thank you.
Operator: Your next question comes from Richard Eastman from Robert W. Baird. Please go ahead.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): Yes, good morning, Blake, Ted, Patrick.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Theodore D. Crandall - Rockwell Automation, Inc.: Good morning.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): Just two questions, one around auto, a very good quarter. And is there any way to just dissect maybe the growth rate by the conventional maybe paint content and spend level versus the share gains on the powertrain side? And I guess where I'm going with the question is how much room do we have to run with the share gains? We're not peak shipments or anything there on the share gains, do we, relative to the capital investment going into Mexico?
Blake D. Moret - Rockwell Automation, Inc.: There's plenty of room to run on these share gains. And so I don't know that we can break down specifically the percentage of growth. We've talked about a $20 million incremental opportunity in powertrain on a yearly basis. But we think it's fairly balanced in terms of our ability to grow share due to powertrain as well as capitalizing on model changes and identified programs around the world.
Theodore D. Crandall - Rockwell Automation, Inc.: Rick, the other thing, I think Patrick mentioned 10% growth in automotive in the quarter. I wouldn't get overly excited about the 10% in the quarter. It tends to be a project-related business for us. There's some lumpiness in project timing, and so we were really pleased with the results in the quarter. I would say what we're more pleased with is full-year growth in automotive in 2016, and so don't draw too big of a conclusion on one quarter's results.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, I understand. And just as a follow-up, given the Solutions book-to-bill at 0.92, that's reasonably typical. And I think, Ted, you made the comment that the second half growth in the Solutions business would be better than the first half. But is the first half for the CP&S in total and Solutions, is it still likely to be a negative number?
Theodore D. Crandall - Rockwell Automation, Inc.: Yes. I think in the first half of the year, we will have modestly negative growth rates in Solutions & Services businesses probably.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): And then averaging into the full year, does CP&S show growth if the midpoint 2% becomes a reality, the CP&S growth?
Theodore D. Crandall - Rockwell Automation, Inc.: At the 2% midpoint, I think CP&S will show some growth, but it will likely be below the average, and A&S we would expect to be a little above the average.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): Understood, okay. All right, thank you and nice quarter. Thank you.
Blake D. Moret - Rockwell Automation, Inc.: Thank you.
Operator: Your next question comes from Andrew Kaplowitz from Citigroup. Please go ahead.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Good morning, guys.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Good morning. A lot of your big process customers have started to generate cash again; at least they're getting their act together a bit. You've gotten flattish revenue from heavy industries. But can you talk about the potential for an uptick in large project activity? Have customers given any indication to you on when you could see larger heavy industry projects, particularly in mining go-forward again and when you could see more orders?
Blake D. Moret - Rockwell Automation, Inc.: We're seeing activity, but it's a little hard to say when money will actually be released for those projects because what we've seen in the past is during periods where capital expansion is lower, then the engineers are busy getting ready for future projects, and they have the time to do that as opposed to keeping – running at very high levels of output. We've seen some evidence that there's a little more productivity spending in mining in Latin America, but no signs of a major uptick in capital expenditures. And just to be clear, what we look at as a big project, it's not all that big. We're not playing in the mega-projects more than to be providing the capacity specifically related to controls as well as productivity on brownfields.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay, that's helpful. And then you saw a pretty big swing in EMEA, with growth turning negative after mid-single-digit positive last quarter. We did see a slowdown from some of our other industrial companies in Europe, but you mentioned that you saw mid-single-digit organic order growth in the quarter. So it seems – you'd think that the sales weakness in EMEA is maybe more temporary, more a hiccup than anything else. Can you give us more color on what you're seeing there in Europe? And the visibility, I think you mentioned relatively flattish for 2017, but maybe you can talk a little bit more about that.
Blake D. Moret - Rockwell Automation, Inc.: We do think a lot of that is variability. We think that the optimism that we've seen – I was in Europe last month with our employees and some customers as well. I think we're continuing to see the impact, particularly in the consumer applications of some of our new product releases. They're making a difference.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Blake, is the Middle East holding you back at all? Is it weaker than the rest of Europe?
Theodore D. Crandall - Rockwell Automation, Inc.: I would say the only change we have seen in the Middle East is there has been some pullback in infrastructure investment.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay. Thanks, guys.
Operator: Your next question comes from the line of Rich Kwas from Wells Fargo Securities. Please go ahead.
Richard M. Kwas - Wells Fargo Securities LLC: Hi, good morning, all, just two questions for me.
Blake D. Moret - Rockwell Automation, Inc.: Good morning, Rich.
Richard M. Kwas - Wells Fargo Securities LLC: For fiscal 2017 automotive and consumer, what's the underlying assumption for the growth rates for those particular verticals?
Theodore D. Crandall - Rockwell Automation, Inc.: Without getting overly specific, I think you ought to think of it as we expect both the company average growth in automotive and consumer and below the company average growth in heavy industry, and with heavy industry relatively flat, maybe even slightly down.
Blake D. Moret - Rockwell Automation, Inc.: Auto and consumer we're looking at up mid-single-digits globally for 2017.
Richard M. Kwas - Wells Fargo Securities LLC: Okay, all right. And then just a follow-on to an earlier comment, Blake, around China, you talked about information solutions and there's more adoption of the product over there seemingly, rather, versus the developed markets. I'm just curious. What do you think is driving that? What do you think the hindrances are right now around developed market adoption, Europe, North America specifically, around the information solutions and software product?
Blake D. Moret - Rockwell Automation, Inc.: When I talked to customers in China over the last couple of years, I've been told by some of them that what took the Western economies and the U.S. 40 or 50 years to work to high levels of productivity, they want to do in much less time. And I think a lot of those customers are committed to and with the encouragement of the government to more rapidly adopt additional sources of productivity. So it's certainly about the base automation. But when you look at initiatives like China Manufacturing 2025, those are really good fits with what we talk about with the connected enterprise vision. And in fact, just again there in August, having joint presentations for indigenous customers about the linkage of the connected enterprise with the China Manufacturing 2025 initiative, particularly around those information solutions, the addition of MES software, higher-value services to complement the products and the software, those ideas resonate with the customers. And beyond that, there's a growing number of them that can talk about how it actually achieved the business outcomes that they were looking for. And we'll talk about some of those on Thursday, but it's real and it's having an impact on their overall competitiveness.
Richard M. Kwas - Wells Fargo Securities LLC: Do you think there's going to be much more of a lag or resonance in the developed markets, Blake? I know you'll probably talk about this later in the week.
Blake D. Moret - Rockwell Automation, Inc.: It's the pilot concept. And for each customer, it's an individual journey, so they're picking up these concepts at a different state of readiness. Some of them already have the smart products installed. Others it's just getting the basic communication infrastructure in to create the plumbing, if you will, for the data that's turned into information. But we're seeing that pull that I mentioned before bringing us into those pilots. It's highly iterative. There's not a set playbook for the industries. Each customer is looking for a partner to work through this with them, and that's why it's taking a while. But we do see the adoption and the momentum building.
Richard M. Kwas - Wells Fargo Securities LLC: Thank you. See you next week – later in the week.
Theodore D. Crandall - Rockwell Automation, Inc.: See you soon.
Operator: Your next question comes from Joe Ritchie from Goldman Sachs. Please go ahead.
Ashay Gupta - Goldman Sachs & Co.: Ashay on for Joe Ritchie, just one quick question for me. Can you remind us where pricing ended up for 2016 and what your underlying assumption is in the FY 2017 guidance? Thank you.
Theodore D. Crandall - Rockwell Automation, Inc.: Yes, so for 2016, pricing was a little less than a point, and basically we're expecting a similar result in 2017.
Ashay Gupta - Goldman Sachs & Co.: Thank you.
Operator: Your next question comes from Jeremie Capron from CLSA. Please go ahead.
Jeremie Capron - CLSA Americas LLC: Thanks and good morning, everyone.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Jeremie Capron - CLSA Americas LLC: Congratulations on the three acquisitions. It's good to see capital going to acquisitions, and I think you've had a pretty good 2016 in that respect. And from your prepared remarks, it sounded like you may be seeing other acquisition opportunities in this new fiscal year. Ted, you talked about lower share repurchase in fiscal 2017 depending on acquisition spend. So, I'm wondering if you could help us understand what you're seeing out there. Now that you own Maverick, there may not be a large opportunity – or as large opportunities on the system integration side. And, Blake, if you could comment on your willingness to maybe do somewhat bigger deals. There's a number of attractive segments of the industrial automation industry that you're maybe not participating in today. So I'm trying to understand your appetite there. Thanks.
Blake D. Moret - Rockwell Automation, Inc.: Sure, I will be talking some more specifically about the role of these acquisitions and others on Thursday. But briefly, we remain primarily an organic growth company. There's no better way for us to spur our growth in performance than growth in our core platforms. That being said, the pace of the technology and the demands of customers that they have on their automation and information partners for credibility and an understanding of their best opportunities for productivity do put a little additional emphasis on acquiring and partnering for new technology and domain expertise. So it's more about the accelerated pace of the technology that may spur a little bit more activity on the acquisition side. But again, our priorities remain first, organic growth, and then in terms of capital acquisitions, followed by dividend and share repurchase. So I don't want to signal – I'm not signaling an interest in going after something big. We're not constrained. But our first priority is when we do consider acquisitions are how do they accelerate our existing strategy? How do they bring us technology, innovation? How do they increase our domain expertise? How do they increase our market access? And so the best acquisitions address one or more of those areas, and then we look secondarily about their impact on some portion of our financial structure.
Jeremie Capron - CLSA Americas LLC: Thanks, and a pleasant surprise from Asia-Pacific. This quarter you talked about improving trends in China. I know you've made some changes there in terms of senior leadership in recent quarters. I wonder if you could talk about your strategy in China and any changes there in terms of your approach to distribution. It sounds like you're doing well with machine builders. You're seeing a nice take-up of your information solutions there. Maybe give us more color on your approach to distribution. Thanks very much.
Blake D. Moret - Rockwell Automation, Inc.: Sure. We remain committed to limited market-making distribution around the world, and we have seen some optimism coming from our distributors and from our salespeople who are working with distributors. We also see the need to increase our own capabilities, particularly when we're having these more unstructured discussions about the connected enterprise. So we can't depend entirely on our distributors to make that market for us. And so we're investing in people who have skills in that area and have the expertise in the applications and the technology for driving that additional productivity. And we're looking at partners as well. Engineering companies, when they see the value of working with us, they can be a very credible source of information and value-add for those customers as well. So it's a broad approach. It remains one that includes distribution at its core, but it also includes developing our own capabilities as well as developing deeper relationships with key engineering firms.
Jeremie Capron - CLSA Americas LLC: Thanks very much and good luck, guys.
Theodore D. Crandall - Rockwell Automation, Inc.: Thank you.
Patrick Goris - Rockwell Automation, Inc.: Operator, we'll take one more question.
Operator: Our final question today comes from the line of Eli Lustgarten from Longbow. Please go ahead.
Eli Lustgarten - Longbow Research LLC: Good morning, everyone. Thank you.
Blake D. Moret - Rockwell Automation, Inc.: Good morning.
Eli Lustgarten - Longbow Research LLC: One clarification, you said the tax rate would be 24% with a benefit in the first quarter. Are we headed back towards mid-20s? And when you get past 2018, are we going to normalize the tax rate?
Theodore D. Crandall - Rockwell Automation, Inc.: Eli, I think we've talked about this in the past. If you ask what I think more a long-term base tax rate is for us, I think it's more like in the 26% to 27% range.
Eli Lustgarten - Longbow Research LLC: Okay, thanks for doing that. And as we looked at the businesses, you talk about mining getting better. You have a very small exposure to coal I believe, but there's no exposure going up with any of the bankruptcies. And there's basically, with the coal market still in shambles, that it shouldn't have much of an effect in 2017, and with the auto business up by itself ex the powertrain business in 2017.
Theodore D. Crandall - Rockwell Automation, Inc.: We're talking about a $20 million opportunity in powertrain for us annually. If you think about our automotive business as being ballpark, $600 million – $650 million of our total sales, you can do the math yourself. Without powertrain, there would be significantly lower growth.
Blake D. Moret - Rockwell Automation, Inc.: And going back to your first question about coal, you're right. Our exposure to coal is fairly low. It was a little bit more in China, but I would say it's decreased quite a bit over the last couple of years, and we don't expect additional exposure to coal in the U.S. or elsewhere.
Eli Lustgarten - Longbow Research LLC: All right, thank you very much.
Patrick Goris - Rockwell Automation, Inc.: Okay, that concludes today's call. Thank you for joining us.
Operator: This indeed does conclude today's conference call. You may now disconnect.